Operator: This is the Chorus Call conference operator. Welcome to the Ballard Power Systems 2014 First Quarter Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Guy McAree, Director of Investor Relations. Please go ahead.
Guy McAree: Thanks very much. Good morning, everyone. Today's call is to discuss Ballard's first quarter 2014 operating results. And with us today are 3 individuals. We have John Sheridan, our President and CEO; Tony Guglielmin, our Chief Financial Officer; and Steve Karaffa, Ballard's newly appointed Chief Commercial Officer. We're going to be making forward-looking statements that are based on management's current expectations, beliefs and assumptions concerning future events. Actual results could be materially different. Please refer to our most recent Annual Information Form and other public filings for our complete disclaimer and related information. So now over to John.
John William Sheridan: Thanks, Guy, and good morning, everyone. As you saw in last night's press release, our Q1 results showed continued progress year-over-year with improvements in all metrics, including revenue up 13%, cash OpEx down 23% and adjusted EBITDA improved 60%. These results are consistent with our 2014 outlook and our full year guidance. Also of note, our cash reserves increased to $41.6 million in Q1, a very solid cash position. So a good start to 2014, but with one soft spot, Telecom Backup Power system shipments were low in the quarter. This, in turn, impacted revenue and gross margin in Q1. To be clear though, we do not see that Q1 softness in Telecom Backup Powers system shipments as systemic in any way. The sales pipeline is strong, and our full year outlook remains strong. So no change for the full year. Steve will be speaking to our sales pipeline for Telecom Backup Power a little later on the call. Just by way of introduction, Steve joined us in February as Chief Commercial Officer. He brings a deep understanding of telecom markets to Ballard, having served in senior executive roles at Corning, including leading Corning's global telecom carrier business. Before Steve gets going and before Tony draws down on the Q1 results, I want to take a few minutes upfront here this morning to talk about the IP transaction, which we announced last Thursday night with United Technologies Corporation. We see this UTC transaction as a game changer. It gives Ballard a commanding position and strategic IP in the fuel cell sector. And as fuel cell markets continue to develop, that IP control position will be powerful to accelerate revenue and to grow shareholder value; to grow shareholder value and accelerate revenue through IP licensing, through Engineering Services and, of course, Engineering Services are closely linked to IP through strength in product offerings and, more broadly, strengthening Ballard's overall market position. In terms of the transaction, there's 2 key and distinct elements. First, Ballard has acquired the entire PEM intellectual property portfolio of United Technologies Corp. And second, Ballard and United Technologies have established a strategic alliance. I'll give you a bit more color on the 2 different elements. So first, the portfolio that we acquired. This IP portfolio was developed by Untied Technologies over many years with over $1 billion of research and development. The scope of the portfolio includes PEM fuel cell technology in auto, in bus and in stationary power. It represents about 800 patents and patent applications. It also includes several hundred invention disclosures and, very importantly, includes fundamental know-how. So this represents a huge addition to Ballard's extensive IP foundation. So that's the IP portfolio itself. Turning secondly to the other element of the transaction, the strategic alliance between Ballard and UTC. So in a simple sense, United Technologies is now goal aligned with Ballard with skin in the game. United Technologies Corp. is now a strategic investor in Ballard with 5.1 million shares, and United Technology Corp. is now a partner who will benefit from royalty payments-related to future Ballard IP licensing deals. As such, are 2 companies that are incented [ph] to work closely together and to leverage the UTC brand, to leverage UTC customer relationships and to leverage UTC IP expertise, all in the pursuit of Ballard's IP licensing business. Also received a potential for sales of fuel cell products in our Engineering Services within the UTC group of companies. We're now mobilizing our joint Advisory Council to spearhead this work. This joint Advisory Council will be comprised of executives from both companies and external IP licensing experts. So needless to say, we're very excited about this acquisition. We're very excited about the alliance with United Technologies. We think this really is a game changer. And just a quick final upfront item for me this morning, it's much less exciting, but nonetheless important, CEO succession. Further to my announcement in February about my decision to retire by year end, our Board search committee is up and running with the support of an external search firm. The committee is on track to have the CEO succession transition completed by year end. We'll keep you informed, and we'll keep you updated as things proceed on that front. And with those upfront comments, over to Tony now on the Q1 financial results. Tony?
Anthony Robert Guglielmin: Yes. Thanks, John, and good morning, everyone. As John noted, top line revenue growth was up 13% in Q1 to $14 million. So I'm just going to begin by providing some additional color around Q1 revenue. First, with -- beginning with fuel cell products. As already referenced, Telecom Backup Power revenue was down in the quarter by 55% year-over-year to $2.9 million. This was the result of a much lower volume of system shipments than in Q1 last year, which was a banner quarter that included a major order from NSN Japan. It's worth noting here that the results in Backup Power in Q1 are an example of the unevenness in demand from quarter-to-quarter in early stage markets. And we don't see this as indicative a trend in any way, rather it's just a reality of lumpiness in early stage order flow from a relatively small number of customers. In Material Handing, Q1 saw a continuation of the momentum we experienced in Q4 last year, with revenue up 125% year-over-year to $2 million. Turning to Engineering Services. In Q1, revenue increased 185% to $7.4 million, the majority of which stemmed from the 4-year Volkswagen contract that we signed in March of last year. And finally, in IP Licensing, our multiyear agreement for bus module assembly in China that we signed last September generated $1.6 million of revenue in the quarter. And as a reminder, this licensing revenue is reported as part of the Bus segment within development stage markets. So that's a brief look at revenue. In terms of our other financial results for the quarter, let me start with gross margin. Gross margin improved 1 point in the quarter to 25%. This would've actually been 2 points higher if not for the relatively low volume of ElectraGen shipments for Backup Power in the quarter, which did result in some unabsorbed overhead cost related to the Tijuana contract manufacturing facility. But as such, we do remain on track for a modest full year improvement in gross margin. In terms of cash operating costs, Q1 improved 23% compared to the same period last year to $6.3 million and also improved from Q4 last year, moving toward a $5 million to $6 million per quarter run rate for the full year, which we discussed on our February outlook call. Adjusted EBITDA in the quarter improved 60% compared to the same period last year, the negative $1.8 million resulting from growth in revenue, a $600,000 increase in gross margin and a $1.9 million reduction in cash operating costs. And just to remind you what we did say, and have said previously, we believe Ballard can achieve breakeven adjusted EBITDA at a revenue level of approximately $20 million per quarter or about $80 million for the year. Also, we were certainly pleased to see a 66% improvement in earnings per share in the quarter to a loss of just $0.03 per share from a loss of $0.09 per share in Q1 last year. In terms of cash used by operating activities, we experienced a 5% improvement in Q1 to $6.6 million. Now this reflects a 65% improvement in cash operating loss to negative $2.2 million, partly offset in the quarter by a $4.4 million increase in working capital driven by the timing of revenue and customer collections. But to be clear, Q1 is not at all indicative of our expectation for cash burn for the full year, which we expect to be in the $10 million range, a major reduction from 2013. Lastly, in terms of liquidity. In Q1, we strengthened our balance sheet by approximately $18 million, primarily due to the exercise of warrants we had issued in conjunction of last year's 2 equity financings. And with this, we ended Q1 with cash reserves of $41.6 million with 0 balance on our bank operating line. And just a brief note here on debt, other than obligations arising from a small capital lease facility of $1.6 million and $9.9 million related to the sale leaseback of our headquarter office building that we entered into several years ago, Ballard has no debt on the balance sheet. So we feel very comfortable with the strength of our balance sheet. So pulling all this together then, with the continued progress we delivered in Q1, together with our growth outlook through the remainder of 2014, we have confirmed full year guidance for revenue growth of approximately 30% and approximately breakeven adjusted EBITDA. And with that, let me turn the call over to Steve to discuss Ballard's commercial activities.
Steven William Karaffa: Thanks, Tony. Good morning to everybody. As you know, I'm new to Ballard and the fuel cell industry. And as you would expect, I'm getting up to speed rapidly on this exciting business. This morning, I'll report on commercial progress in Q1 and provide my perspective on the state of our markets and pipelines. First, in fuel cell products, let me begin with the Telecom Backup market. As we noted before, Telecom Backup Power demand is driven by 2 different value propositions through extended run time power. The first is targeted at markets with unreliable power grids, and the second is targeted at markets requiring network hardening for crisis situations. We are currently working on 2 customer engagements that illustrate these 2 different value props. Looking first at East Timor. This is a great example of a market with an unreliable grid. East Timor is a 5,400 square mile independent state on the Indonesian Island of Timor, where we have supported our channel partner, Cascadiant, in providing methanol-fueled ElectraGen systems. These systems are being used as a sole source of backup power at base station sites in the telecom network. Second, Germany is a great example of a network hardening opportunity. We're supporting FutureE, which recently secured a contract to deploy more than 50 backup power systems using Ballard's fuel cell stacks at critical sites in Germany's emergency services network, also known as BOS. And FutureE sees additional opportunities for deployments in the BOS network going forward. These are 2 current customer engagements which illustrate our 2 markedly different value propositions. These 2 value propositions underpin our robust sales pipeline. Our biggest sales pipeline opportunities are in Southeast Asia and India, where unreliable power grids predominate, and in the U.S., where network hardening activity is underway. As a result, we remain bullish regarding our growth prospects. There are a couple of specific reasons for this optimism. First, we have a robust sales pipeline of opportunities in markets where we currently play, including Japan, Indonesia, the Philippines and South Africa. We are making progress also in new geographic markets, including the completion of successful product trials in Pakistan, Australia and China. We anticipate an important demonstration system in the coming weeks in Myanmar, as well as an impending trial with a major U.S. telecom operator. With the current quantity of high-quality pipeline prospects, we continue to expect the full year 2014 growth in Telecom Backup Power to be in the 30% to 50% range. Turning to Material Handling. As you are no doubt aware, there's been a lot of activity at our partner Plug Power recently. Before I go into that, I'd like to provide a little context from a Ballard perspective. While Material Handling is certainly important to us from a strategic perspective, this market represents only about 10% of Ballard's expected revenue for the full year. With that said, we're currently in discussions with Plug Power regarding the extension of our supply agreement, which runs through 2014, as well as defining our broader strategic relationship. Our focus is to continue earning Plug's business through delivery of the highest quality fuel cell stacks at competitive costs, along with first-rate customer support. We continue to project 2014 growth at 50%, which is in line with Plug's guidance. Q1 provided a strong start on this full year trajectory with 125% revenue growth in the quarter. The Plug Walmart order for more than 1,700 GenDrive systems over the next 2 years, reinforces our confidence in the growth outlook through this year, as well as our prospects for next year. In development stage markets, where our focus is primarily on continuous power and bus, there are a couple of areas of progress to note. In May, we will begin a market trial of our prototype continuous power product in South Africa, which will support about 30 homes in a rural community. Later in 2014, we plan to launch the next-generation FCvelocity-HD7 power module, a cost reduced and much longer life product for the developing bus market. Turning now from Fuel Cell Products to Engineering Services. In addition to our continuing work at Volkswagen, we signed 3 new modest-sized Engineering Services contracts: the first one for an automotive company requiring development of a new captive layer [ph]; second, a client desiring development and testing of a power module from marine applications; and finally, a customer needing development of new fuel cell catalysts for a component supplier. And this, incidentally, could also be a product that benefits our Backup Power product line in the future. Lastly, in IP Licensing, work continues with our bus assembly licensing contract in China and on the second IP licensing contract. And now, as John described, we expect our licensing revenue growth to accelerate significantly with the United Technologies' IP portfolio acquisition and our new strategic alliance. In addition, the combined portfolio will be instrumental in furthering our corporate strategy in other ways. First, it will expand our engineering services business through the combination of additional IP and our highly skilled fuel cell technology experts. Second, it will afford opportunities to enhance our products through cost reduction and durability improvement, thereby sharpening our competitive positioning and accelerating market penetration. And finally, it will ultimately strengthen Ballard's broader industry leadership position in technology. So that's all I have for this morning. And with that, I'll turn it back over to the operator.
Operator: [Operator Instructions] First question is from Robert Brown with Lake Street Capital Markets.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Wondering if you can give us a little more info on the licensing opportunities from the UTC patent portfolio? Is that something that's got some near-term opportunities? And so what should we expect on timing and what areas could those sort of near-term impact?
John William Sheridan: Thanks, Rob. So as far as the areas, first, a big, big part of what this gives us, we think, is an incredibly solid play in automotive. So UTC has done an awful lot of work, very close work in some of the fuel cell development, prototype development, early stage fuel cell stack and system architecture, with a couple of the major OEMs. So we think with the automotive heart of that portfolio combining with Ballard's IP and, most importantly, with Ballard's Engineering Services capabilities that we've demonstrated with Volkswagen, Mercedes and other companies, we think it can really position us to be the leading technology partner for automotive OEMs. So when you think areas, I'd suggest you think in terms of automotive is now a key opportunity for us. We've shown what we can do with Volkswagen and now, we feel, are much strongly positioned. Beyond automotive, bus is very significant, and there is stationary power elements in the portfolio. There's even material handling applications within the portfolio. So it's very broad. It's very comprehensive. But the key area I'd highlight is automotive. Secondly, in terms of timing, as you'd expect, Rob, we're going to be quick off the mark. We're mobilizing, as I said, in my comments the joint Advisory Council. Things are going to move fairly quickly. We've got a couple areas identified in our near-term pipeline. I think I'll leave it at that for today though. We've learned in the past, these deals are complicated. The sales cycle is fairly long. So we're not going to provide any specificity in terms of exactly when we would expect to close initial licensing agreements. But again, we will be quick off the mark in terms of mobilization.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, great. That's very good color. And in on the telecom backup market, there's some good detail provided. But is that a -- I'm talking about trials this year and sort of -- and walk through how those -- how did they turn from trials to sort of more production-oriented rollouts and sort of when is the timing kind of look like? What's the latest thinking on timing there?
Steven William Karaffa: The way I understand the process and the way it works is, typically, we go into a trial. We prove the technology, the customer becomes comfortable with that. Then we move to a more of a pilot deployment, where we have a chance to look at the ecosystem, fueling, service, that sort of thing. The customer gets comfortable with having a larger number of systems out there. And then once that's complete, and that can be on relatively short order, once the pilot is complete, we can move into general availability. We're at various stages with the variety of these trials and pilots right now. So it would be a little bit more than we can cover on the call to give you a detailed breakdown. But we feel very comfortable that we've got a nice pipeline of opportunities at these various stages, which could turn into general deployment.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, good. And then last question about sort of seasonality. I think you've talked about before revenue sort of building every quarter throughout the year. But could you give us an update as sort of Q2s look like Q1 and things improve into Q3 and Q4, or should we see a sort of a sequential step-up going forward from here?
Anthony Robert Guglielmin: Yes, yes. It's Tony here. Yes, I would expect to see -- well, I guess a bit more generally and I think we've alluded to in the past, we probably expect to see about 40% of total year revenue in the first half, 60% in the back half, so just in terms of the split between the front and back end. But I would expect to see sequential quarter-over-quarter increases in revenue, so Q2 should be up over Q1. And then we would expect, again, a stronger back half of the year.
Operator: The next question is from Les Sulewski of Sidoti & Company.
Les Sulewski - Sidoti & Company, LLC: Regarding your higher Engineering Services revenue in the quarter, would you expect -- I'm thinking gross margins should've been a bit higher on that, although this is your higher gross margin business? What is your take on that?
Anthony Robert Guglielmin: Yes, yes. It's Tony here. Yes, I think Q1 was a fairly good in terms of revenue for the balance of the year. We talked about from a -- about a 30% increase year-over-year in Engineering Services, and I think Q1's a pretty good barometer of the annualized revenue. But just in terms of gross margin, there's no question our product mix will drive gross margin for us. And product mix in Engineering Services is certainly supporting it. I think, as we said, we did about -- we're looking for something in the mid -- say, high 20s. Last time, we said it was sort of 28%, 29% for the full year. And that sort of level of Engineering Services is going to contribute to that. We would've thought -- we would've been around there with the -- our first quarter if we had a stronger Backup Power. So I think looking at Q1, with Telecom in there on a full run rate, we would've been around our target gross margin for the year, with revenue coming in from Engineering Services and margin about that level. So I think it's about where we expected.
Les Sulewski - Sidoti & Company, LLC: Okay. And then with your guidance of breakeven EBITDA for the year and then perhaps maybe some of your internal budgeting, is that taking into consideration the weakened -- the weaker Canadian dollar? Just kind of how that will play out for the year? I mean, is that included in your budgeting?
Anthony Robert Guglielmin: Yes. Certainly, there's no question the weaker Canadian dollar that we've seen in the first quarter is actually a potential enabler even to what we had in our plans. So I would say your guidance was for approximately breakeven adjusted EBITDA, there's no question, if the dollar remains at this level for the full year. That will provide some support and some potential upside to our plan. But at this stage, premature to be building anything in. But there's no question, it's is certainly working in our favor.
Les Sulewski - Sidoti & Company, LLC: Okay. And then last one for me. The recently announced $4 billion loan aid from the U.S. Department of Energy, is there any opportunity for Ballard from that to kind of get in front of?
John William Sheridan: I think there's opportunity, Les. But quite frankly, we're trying to focus where the commercial value propos [ph] is strongest, where we don't require government subsidies. I think it's a dangerous business to focus too much where subsidies are required. But having said that, we are aggressive on the government support front and will be looking hard at it.
Operator: The next question is from Dev Bhangui of Byron Capital Markets.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Quick question, just in terms of, I guess, revenue streams. So with respect to the 60-40 split, as you guys have explained in the MD&A, in Q3 and Q4, the primary drivers, I would assume, would be the growth in Telecom Backup come back to Q1 and also the new Engineering Services through a combination of your existing services and the UPC [ph], I guess, IP-based services. Is that correct? I mean, the Material Handling you guys already covered, that's all I'm asking.
Anthony Robert Guglielmin: Yes. You hit nail in the head. I think the only other one that might be somewhat of an enabler in Q4 is in the bus market. We did not deliver any bus modules in Q1 and we're not expecting much activity in Q2. So as we talked about, we're expecting to hear confirmation shortly on the Van Hool [ph] bid into the JTI program. So there's a possibility we might see little bit of bus module revenue success, and that would certainly help in the back half as well if we're successful on that one.
John William Sheridan: Just to go back on one thing you said there though, Dev, and I'm very pleased to hear that you read the MD&A, so good for you. You've got the detail. But when we talk about the 60-40 and the 60 in the back half, that 60 doesn't require the UTC-related revenue that we're talking about. That's upside.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Okay. No, that is good clarification. So since, John, you're talking about UTC and we spoke about the UTC, I guess, IP hold being harvested, I would consider that the harvesting will go 2 ways. One is the traditional way you guys have done with Mercedes and with Volkswagen, which is the Engineering Services. And the other could be in terms of IP infringement, wherein companies who want the IP essentially go for litigation, if at all. People don't sign the licensing agreements and they spend upfront, I would say, significant amount of the litigation cost on lawyers and, subsequently, get harvest one at halfway down the road and then [indiscernible] there is some kind of a settlement outside the court. Do you guys, with respect to this huge 800-plus pattern [ph] hold, are you trying to develop that stream or that particular revenue stream going forward into litigation?
John William Sheridan: Yes, we are. So but to put it into context, what we'll be looking for primarily would be to leverage our Engineering Services capabilities supported by that IP for new contracts like Volkswagen, as you said. So think of that primarily. Two, there's a number of automotive OEMs out there that have spent a lot of money, hundreds and hundreds of millions of dollars on development of fuel cell car technology, and they do have some patents. But I think, Dev, if you talk to anyone of them, they would admit they're seriously concerned that as this gets closer to commercialization, there are other patents out there that will block them. And then that's a concern in terms of the amount of money they would have to spend on development programs to find ways to circumvent those blocking IP positions or whether they've got to get into commercial transactions. So we see there's an opportunity, short of infringement enforcement, just in terms of licensing nonexclusive license deals that would -- that provide more freedom of movement going forward for some of the automotive players as they look towards commercialization. And then the third area is, you're right, it's a world out there that we will play in. We've got a very significant patent portfolio. We'll enforce it. Would that lead us to infringement-related activities and that? It's a revenue stream we see.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Fantastic. No, that's great. Steve, quick clarification, and by the way, welcome onboard. You said in your prepared remarks, something when you're talking about telecom backup; something like 30% to 50% CAGR. Is that CAGR for the second half or is that for the whole year in 2014, vis-à-vis 2013?
Steven William Karaffa: That number range was for the full year. And thanks for your welcome.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Okay. So, Steve, 30% to 50% CAGR on that Telecom Backup Power in fiscal 2014 compared to 2013. Am I right?
Steven William Karaffa: That's correct.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Okay. And then one last question for me. Just in terms of product development, John or Tony, can you give us some -- I mean, you talked about HD7 [ph]. But I mean, given that the Telecom Backup Power itself is going to undergo tremendous amount of growth, what is the view in terms of newer products, either the methanol-reforming product or for the developed markets product in terms of the stationary Backup Power?
John William Sheridan: Yes, thanks. Yes, so you're quite right. We are continuing to focus and work on product cost reduction in the ElectraGen area. So we are looking actually at a -- launching another version of our product sometime the second half of the year, which will enable a small, maybe 10%, reduction in that particular product. So there is something going on certainly in Backup Power. We also are working on another more robust and greater cost-reduced product, but that would be more into mid-'15. So there is some things going on in ElectraGen. And as you said, as you pointed out a moment ago, in HD7. So we are focused on both.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Okay. So this ElectraGen, 10% reduction, Tony, would be towards the emerging markets product, right, not the hardened?
Anthony Robert Guglielmin: Yes.
John William Sheridan: Yes.
Devdatt Bhangui - Byron Capital Markets Ltd., Research Division: Okay, okay. And then one last, I guess, the follow to that. Why [indiscernible] increase R&D, Tony? Is the OpEx run rate, I mean, which is -- I mean, you can see there's so many different ways. It's like almost $24 million to $25 million a year, or you can look at it from a cash operating cost point of view. Is that [indiscernible] stepped-up materially, or is it not really any kind of seasonal [ph] increase?
Anthony Robert Guglielmin: No, no. It's not going to set that. We're looking -- so we are looking for -- yes, and again, you're right. We talked about cash OpEx because for that, that's what we're managing here. So that's excluding depreciation and amortization on cash, stock comps. So we're looking for cash OpEx in that 5 to -- we were a little over. We're at $6.3 million in Q1. We would expect to be in the, as you said, broadly $20 million to $24 million for the full year, so somewhere -- call it, somewhere around $22 million. So we do see a bit more improvement this year, but we see that flat remaining -- remaining at that level for the foreseeable future.
John William Sheridan: Dev, just to add on there in a bit of a tangential point. And I know you're aware of it, but some of the others on the call may not. We do spend a lot of money, invest a lot of money in product development, primarily related to cost-down activity, but increased functionality as well. And a lot of that investment comes from leveraging third parties. The SDTC, the Canadian government arm, has been very supportive to us. Some of our Engineering Services contracts have customers paying for development works. So to Tony's point, we're very successful in bringing cash OpEx down. We don't see an upward trend in cash OpEx. But within that, we've been able to invest very significantly in product development.
Operator: Next question is from James Medvedeff of Cowen and Company.
James Medvedeff - Cowen and Company, LLC, Research Division: I just want to circle back through some of the revenue items and make sure -- so for example on the Telco business, how much of that 30% to 50% growth this year is actually in hand now and how much of it still has to be signed?
Anthony Robert Guglielmin: Yes, it's Tony here. The majority of it needs to be signed. So we've got a number, as Steve was mentioning, we have a number of conversations fairly progressed. But as you've -- and I guess maybe just -- maybe I should just wrap -- I'll circle back, which is coming back to the order backlog number, which is we don't have a large amount in our order backlog at the end of Q1, the reported order backlog. And the reason for that is a lot of these contracts are either close to be signed, but more importantly, often get signed and delivered within the quarter. So good pipeline, a number of them very close to being signed, but at the moment, not firm contracts in the backlog.
John William Sheridan: And just to add on to be clear. Part of the reason that is, is with our major distributors like NSN, we have an ESA in place. So it's not as though we've got to sign new contracts to drive volume. NSN issues purchase orders within that existing ESA.
James Medvedeff - Cowen and Company, LLC, Research Division: I see. How much of that -- how much of the growth is accounted for by that existing relationship?
Anthony Robert Guglielmin: Yes. Well, again, most of the -- most of our growth is through our distributors. Again, we work as channel partners. It's NSN, certainly, our biggest global partner. But in the same fashion in Asia, we have a number of other regional distributors that we've had standing relationships with. So I'd say the vast majority of our current business is through distributors under existing ESAs or existing relationships. We are looking at additional customers, newer customers, but that's the vast majorities, through the likes of NSN and other distributors.
James Medvedeff - Cowen and Company, LLC, Research Division: Okay. And then on the Material Handling side, that was a nice, strong number in the quarter, congratulations.
John William Sheridan: Thanks.
James Medvedeff - Cowen and Company, LLC, Research Division: It's interesting that the Plug deliveries don't start until the second half or the -- I'm sorry, for the Walmart order, don't start until the second half. So what was underlying the strong number in Q1?
Anthony Robert Guglielmin: Yes, certainly -- again, I just want to make the point relative to last year. Q1 last year was very, very soft. So there's no question about it. So Q2 is, for us this year, is really getting back into a regular cadence aligned with Plug's guidance. So Q -- obviously, we're delivering in advance, perhaps, of Plug's putting product to its customers. So I would attribute part of our higher number in Q2 just to a bit of a timing one. Certainly, we're doing -- obviously, we have -- we're doing recourse on existing product as well. But I absolutely -- the Walmart deliveries, as well as other customer deliveries, are really what's going to drive our back half of the order -- year order. So $2 million of revenue, roughly in Q1. We would expect to maintain that and see slight improvement through the balance of the year as those Walmart orders get delivered.
James Medvedeff - Cowen and Company, LLC, Research Division: Okay. And then another one on the Engineering Services business. If the Volkswagen contract is -- is that a straight-line application to revenue of the $60 million to $100 million contract?
Anthony Robert Guglielmin: Yes, roughly. We've talked in the past that it's around $4 million to $5 million a quarter of revenue. It is a bit -- there might be plus or minus $1 million. So in some cases, it may be slightly higher. So certainly, if you read into our Q1 number for Engineering Services, you can assume the majority that, i.e., in that range of $5 million or so is VW, maybe slightly higher, and then the balance will be some of these new customers and existing customers that Steve referred to earlier. But you can assume -- can kind of assume $4 million to $5 million roughly each quarter out of the VW contract through to the duration.
James Medvedeff - Cowen and Company, LLC, Research Division: Well, that's exactly where I was going with that question. It's -- so the additional, say, $2.5 million or so is from these -- are these new customers, new relationships, new programs that weren't there before? And should we expect them to continue?
Anthony Robert Guglielmin: Yes, it's a combination of both. We certainly had some existing customers on top of VW last year. Some of these can potentially last for several months. So I guess Q1 would be a bit of a mix of contracts that we had signed last year. And then there were a few new ones that were also signed in Q1 that probably -- that have generated some small amount of revenue in Q1, but those are really going to feed the revenue for the balance of the year.
John William Sheridan: Just to add on as you remember, of course, we have an ongoing relationship going back many years with Mercedes. So depending on the quarter, there could be some significant amount or less significant amounts. So there's a number of other Engineering Services activities beyond Volkswagen.
James Medvedeff - Cowen and Company, LLC, Research Division: So there could be a little bit of lumpiness in that sector?
Anthony Robert Guglielmin: Yes, there could be a little bit of lumpiness, in that the Volkswagen program can move up a little bit or down, but the Volkswagen provides a significant increment. To your point, James, yes, it's other activity, other contracts.
James Medvedeff - Cowen and Company, LLC, Research Division: Okay. And just for clarity, did you say that the cash OpEx number should be relatively flat through the year, or does it kick up as revenue kicks up later in the year?
Anthony Robert Guglielmin: No, cash OpEx would remain flat through the year. In fact, it's slight -- we expect it to actually go down slightly from the Q1 on a run rate basis, but it will be kind of -- and quarterly sort of in that $6 million -- $5 million to $6 million range and remain there for several quarters.
James Medvedeff - Cowen and Company, LLC, Research Division: Okay. And last one, just housekeeping. What will be the share count as of the end of Q2?
Anthony Robert Guglielmin: Share count at the end of Q2, we're in about 132 million at the end of Q1. And we would expect it to remain at roughly that level, short of some -- short of we still have some warrants still outstanding that if the stock price moves in a favorable direction. But absent any future exercise of warrants, it should be about flat to the 132 million range.
James Medvedeff - Cowen and Company, LLC, Research Division: So the weighted average shares for Q2 and then beyond should be around 132 million?
Anthony Robert Guglielmin: Yes.
John William Sheridan: Yes. So again, James, what's happened is the impact of the warrant exercises, which added to our cash position, which was good, the impact of the Anglo conversion of the convertible debt, a strategic investment there, and also the United Technologies share issuance. So a number of factors have increased the share count, but at this point, Tony, to your point, we don't see that increasing as we go forward.
Operator: This concludes time allocated for questions on today's call. I will now turn the call back over to John Sheridan for closing comments.
John William Sheridan: Well, thank you, and again, thanks for everybody for joining us today. Thanks for your ongoing interest in our company. It's an exciting time in the fuel cell sector. We see significant opportunities. Good start to the year. We've got one soft spot we talked about, and we're very much focused on that. So we look forward to reporting progress in Q2. We'll be back to you in early July on that. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.